Operator: Hello, and welcome to the Paysafe Q2 2023 Earnings Conference Call and Webcast. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Head of Investor Relations, Kirsten Nielsen. Please go ahead, Kirsten.
Kirsten Nielsen: Thank you and welcome to Paysafe's earnings conference call for the second quarter of 2023. Joining me today are Bruce Lowthers, Chief Executive Officer and Alex Gersh, Chief Financial Officer. Before we begin, a reminder that this call will contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent SEC reports. These statements reflect management's current assumptions and expectations, and are subject to factors that could cause actual results to differ materially from those forward-looking statements. You should not place undue reliance on these statements. Forward-looking statements during this call speak only as of the date of this call and we undertake no obligation to update them. Today's presentation also contains non-GAAP financial measures. You can find additional information about these measures and reconciliations to the most directly comparable GAAP financial measures in today's press release, and in the appendix of this presentation, which are available on the Investor Relations section of our website. With that, I will turn the call over to Bruce.
Bruce Lowthers: Thanks, Kirsten. Good morning, and thank you for joining us today. So let's begin with Slide 3. We're pleased to announce our second quarter results, which marks our fourth consecutive quarter of year-over-year revenue growth. Second quarter revenue of $402 million increased 6% year-over-year, or 5% on a constant currency basis, with trends broadly consistent with what we had discussed in the first quarter. We recorded 6% growth in the Merchant Solutions segment, on continued resiliency in our SMB market and high-teens growth from e-commerce led by iGaming in North America. In Digital Wallets, revenue increased 5% on a constant currency basis, driven by our classic digital wallets, where we continue to see improved user engagement. Second quarter adjusted EBITDA of $113 million increased 10% year-over-year and 9% on constant currency was a 90 basis point -- 90 basis points of margin improvement. We continue to drive our sales transformation to reinvigorate growth in our strategic verticals across Gaming, Digital Assets, Travel and Leisure, and Retail and Hospitality. In the second quarter, we closed 37 enterprise deals, which we define as agreements with more than a $100,000 each in annual contract value. Additionally, when we look more broadly across deals of all sizes, we booked nearly 150 cross-selling wins across our existing client base, compared to very little cross-selling a year ago. Overall, we're pleased with our results through the first half of '23, including 6% revenue growth, as well as margin expansion and a reduction in our net leverage ratio. Based on growth through the first half, which came in slightly ahead of our original expectations, we are raising our full year '23 revenue growth outlook to the range of 6.5% to 7.5%, and raising the low-end of our adjusted EBITDA outlook, which continues to reflect more than a 100 basis points in margin expansion. Turning to Slide 4, I'll expand on our progress across our strategic initiatives of sales transformation, customer experience and product innovation, which are enabling us to deliver strong growth in '23 and longer term. In North American iGaming, we continue to benefit not only from market expansion, but also through our success in cross-selling into existing customer base, which is a key pillar of our sales transformation. As one example, I'm pleased to share that we have expanded our relationship with Penn Interactive, a leading operator in North America. Penn is an existing digital wallet client and we've now expanded our relationship with our ecomm capability, currently live in 16 states. As you may have seen they just announced a sports betting agreement with ESPN. In Canada, we've enabled interact e-transfer payment capability with more clients including Bally's in Ontario, as well as three Canadian lotteries. We've added this popular and widely accepted regional payment method to our product offering when the Ontario market launched last year. It's now live with 11 operators in the region. Latin America also continues to attract strong interest from our suite of products, including some of the most popular forms of regional payments, which enable our merchants to reach new customers and drive volume growth in the region. In the second quarter, we expanded our existing product offering with well-known brands including Betsson, a long-standing global iGaming client, as well as Epic Games, a leading interactive entertainment company. We're also cross selling our large European client base into Latin America and signed multiple agreements with financial trading merchants during the quarter. We are providing their customers with new ways to fund their ForEx trading accounts, including our digital wallets and other regional payment methods such as real-time bank transfers. We are also cross-selling our products within Europe, such as our recent deal with Mill Adventure, a licensed iGaming platform in Germany, and an existing digital wallet client, was adding Paysafe's e-cash solutions for its customers in Germany. So, we've had a lot of activity with our cross-selling strategy, but we're also very focused on winning new clients across our key verticals. As one example, we're thrilled to have signed an agreement with PrizePicks, a leading daily fantasy sports operator. Paysafe is now the payment processor for them in North America, replacing their current provider. As, we've discussed previously, these wins with both new and existing clients were supported by our new go-to-market structure, which has improved our ability to sell Paysafe as a strategic payments partner, while also improving deal execution and increasing our average deal size and global pipeline. We have also seen stronger retention and growth of our existing merchants, with net revenue retention of our enterprise clients greater than 100% year-to-date compared to a negative net retention a year ago. Turning to a few updates on our product innovation. First, we're excited to have launched new features for our eCash users, including new ways to fund and spend their money, which will support higher engagement and revenue per user. We have rolled out these features to 18 countries as of today and impressed with the initial outcomes. We believe this has also support higher retention, particularly with users we typically graduate to other payment methods or have payment needs beyond digitizing cash. Next, on our APM strategy, Paysafe's priority to bring our assets direct to our global e-commerce merchant base, enabling them to offer a more personalized and localized payment experience to their customers. We are adding several new regional payment methods in '23, along within enhancements to our existing product set. We've launched MB Way in Portugal in Q2 was a large portion of our local digital wallet consumers already utilizing the payment method and with high approval rates. Our new regional methods such as MB Way are already being integrated into our existing architecture, allowing us to offer the payment methods to our own digital wallet consumers and direct to our enterprise merchants through our gateway. We also enable Pix transaction in Brazil, which is another great example of a popular payment method that we offered in the region through a single integration. Lastly, during the quarter, we introduced network tokenization, which is an enhanced level of security that helps to increase authorization rates, reduce fraud and enable improved customer experiences. So all of these examples provide some color around the initiatives that we shared with you back at our Investor Day in March. We're making strong progress and we're seeing it in our results with more to come in the second half of the year and beyond in '23. Moving to Slide 5 for an update on the classic digital wallets, which is consistent with the update we've provided in our most recent earnings calls. In the second quarter, we saw ongoing stabilization of our underlying active user base with approximately 900,000 three-month actives, and we delivered constant currency revenue growth of 12% from the classic wallets. We continue to make progress with our funnel optimization to improve the gateway experience through our merchant checkout conversion work to retain users and drive more spend per user. Overall, we continue to see stronger engagement, including double-digit growth in both transactions per active user and average revenue per user, even when we exclude the benefit of interest revenue. So the drivers here are consistent with what we've highlighted throughout the year, such as improvements to the customer journey and checkout experience. Our goal is to provide customers with a seamless onboarding journey ability to self-serve in the app and engaging features that encourage loyalty while, at the same time, broadening the appeal and use cases of our unique wallet platform. And with that, I'll ask Alex to review the financial results.
Alexander Gersh: Thank you, Bruce and good morning, everybody. Let's move to Slide 7 for the summary of our financial results. Volume was $35.5 billion in the second quarter, an increase of 6% year-over-year and total revenue of $402.3 million also increased 6% or 5% on a constant currency basis. In our Merchant Solutions segment, we saw continued resiliency from the U.S. consumer, supporting growth in our SMB space, such as food beverage consumption and transportation, as well as strong growth from iGaming on the e-commerce side of the business. In digital wallet, growth in the underlying business was driven by continued improvements to the customer journey and checkout experience. Adjusted EBITDA for the second quarter was $113 million, an increase of 10% year-over-year or 9% constant currency. Adjusted EBITDA margin was 28.1%, an increase of 90 basis points, reflecting higher gross margin in the digital wallet segment and operating leverage. As a percent of revenue, our total SG&A was 33.2% in Q2, down from 35.6% in Q2 of last year. We generated $95 million in free cash flow in Q2, reflecting 84% conversion of adjusted EBITDA. On the LTM basis, free cash flow was $363 million, reflecting conversion of 86%. Conversion was higher than our expected range of roughly 65% for 2023, mainly due to one-time items related to taxes in prior periods and safeguarding practices. Adjusted net income for the second quarter was $34.7 million or $0.56 per share compared to $37.5 million or $0.62 per share in the second quarter of last year, reflecting an increase in interest expense of approximately $8 million. Let's move to Slide 8 to discuss the segment results, starting with Merchant Solutions. Second quarter volume in Merchant Solutions was $30.3 billion, an increase of 7% year-over-year. And revenue for the second quarter was $225.7 million, an increase of 6%. Adjusted EBITDA in Merchant Solutions increased 1% to $55.8 million, reflecting 24.7% margin, down 120 basis points year-over-year, which reflects the business mix as growth was particularly strong in our third-party partner channel. We continue to focus on driving growth through our direct sales channel in Merchant Solutions as well as our e-commerce pipeline, both which have higher margins relative to our partner channel. Turning to Digital Wallet segment on Slide 9. Second portal volume in digital wallet was $5.4 billion, a 6% increase year-over-year. Digital Wallet revenue for the second quarter was $179.1 million, an increase of 6% year-over-year and 5% increase on a constant currency basis. Adjusted EBITDA in Digital Wallet segment was $77.2 million, an increase of 11% year-over-year or 8% constant currency, and reflecting a 43.1% margin, up 170 basis points. As Bruce highlighted, we are seeing continued progress led by our growth initiatives focused on user experience and product innovation, as well as early progress from our sales transformation, which we expect to drive stronger revenue growth in the second half. Growth was also supported by an increase in interest revenue on consumer deposits. Turning to Slide 10 for a summary of debt and leverage. At the end of second quarter, total debt was $2.6 billion reflecting debt repayments and repurchases of totaling $42 million during the quarter. Movement in FX increased our debt balance by approximately $8 million. Year-to-date, we have prepaid approximately $91 million of our debt. Net debt was $2.4 billion and our leverage ratio decreased to 5.6 times at the quarter end, compared to 5.8 times at the end of last year. I'll reiterate that we remain highly focused on reducing leverage to further debt repayments and EBITDA growth in 2023. We continue to believe we will be in a range of 5.1 times to 5.3 times by the year-end. Now moving to the full year outlook on Slide 11. Based on our results to date, we are slightly raising our 2023 revenue growth outlook to a range of 6.5% to 7.5%, while maintaining more than 100 basis points in adjusted EBITDA margin expansion. We expect reported revenue to range from $1.595 billion to $1.608 billion and we expect adjusted EBITDA to likely come in towards the high end of the range of $454 million to $462 million, reflecting adjusted EBITDA margin in the range of 28.5% to 29%. Now I'll turn the call back to Bruce for closing remarks before we take questions.
Bruce Lowthers: Thank you, Alex. In closing, I want to thank our team for their hard work and relentless focus on winning the customer every day. After stabilizing the business in '22, we are well on track to deliver approximately 7% growth in '23 based on the midpoint of our guidance, while increasing margins and reducing our leverage ratio. Based on what we're seeing today, our end markets remain resilient and highly attractive, providing significant runway for growth and exciting opportunities for Paysafe. Now let's begin the Q&A session.
A - Kirsten Nielsen: Thank you, Bruce. We will take a couple of questions from the Say Technologies platform, which allows shareholders to submit and up vote questions. After that, we'll turn to questions from our research analyst community. Our first question is from Leslie, who asked what are the headwinds to growth. Bruce, would you like to address this one?
Bruce Lowthers: Sure. Thank you, Leslie, for the question. Let me reiterate that we have seen a return to growth, and our Q2 performance marks the fourth consecutive quarter of year-over-year revenue growth. And we've done that while absorbing some headwinds, particularly last year related to FX and the war in Russia and some gambling regulations that impacted our clients in Europe. But we've returned to growth while absorbing these impacts and making a number of changes to stabilize and improve the business. Going forward, we believe our end markets are quite healthy, and we aren't seeing anything today that impacts our confidence in achieving our full year outlook, which reflects 7% revenue growth and 12% EBITDA growth at the midpoint of guidance, which is a strong improvement from effectively flat revenue growth in '22. In Q2, we saw growth in all key regions in North America, Latin America, Europe and we're seeing good stability in the U.S. SMB market, double-digit growth in e-com and continued progress in our digital wallet segment.
Kirsten Nielsen: Okay. Thanks, Bruce. Our next question is from Sachin, who asked what are Paysafe plans and projections to reduce debt. Alex, can you take this question?
Alexander Gersh: Yes. Thank you for the question. As I said during my remarks, on the debt reduction year-to-date, we have already completed net repayments of approximately $91 million, and we reduced our net leverage ratio to 5.6 times and from 5.8 times at the end of 2022, and this continues to be a priority for the company. And of course, we are driving growth, which will support the improvement in our leverage profile. The midpoint of our adjusted EBITDA guidance, as you saw in our presentation is $458 million, which is an increase of 12% year-over-year, as Bruce mentioned. So we believe that will put our net leverage ratio in the range of 5.1 times to 5.3 times by the year-end. Longer term, we're driving towards 3.5 times target.
Kirsten Nielsen: Thanks, Alex. We also received a few questions asking what our shareholders can expect over the next couple of quarters and into next year. Bruce, could you take this one?
Bruce Lowthers: Yeah, happy to. Look, just to add on to our remarks earlier, when we look at the second half of the year and into '24 and beyond, you start to see the proof points and growth related to our strategic initiatives around sales transformation, client experience and product innovation. While it's early days, we have a sales pipeline that's much larger than it was a year ago. In the deals, we've already won, we're seeing multiproduct wins and cross-selling geographically within our existing merchant base compared to very little cross-selling a year ago. And then on the product side, we've been -- as we've talked about, we have key initiatives around global EPM optimization improving our off rates and leveraging our wallet platform to adjacent markets. So again, we've delivered our fourth consecutive quarter of reported revenue growth, while driving higher free cash flow, higher EBITDA margins and reducing leverage. I'm confident that we're in a stronger position today than we were a year ago. We've lapped some of the market headwinds that we're weighing on our top line and we're driving towards double-digit midterm growth profile.
Kirsten Nielsen: All right. Thanks, Bruce. With that, let's turn the call back to the operator to open up the lines to take questions from the analysts. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Scott Wurtzel from Wolf Research. Your line is now live.
Scott Wurtzel: Thanks. Good morning, guys and thanks for taking my questions. Maybe first to start off on the wallet segment. I mean it's great to see the engagement from a transactions per active user perspective, continuing to trend well, but still seeing active users stabilized but remain flat over the last few quarters. So just wondering kind of when we finish, expect the active user growth to return to growth and sort of what you're doing around that to see that active user base start to rise at some point in the future?
Bruce Lowthers: Yeah, Scott. Good morning and thanks for the question. So look, I think as we looked at the wallet business, you go back to Q2 '22 versus Q2 '21, it was declining pretty significantly. We really wanted to focus on stabilizing the platform. So a couple of things we needed to do. We needed to make some changes to the platform. I think our team has done a great job of improving the functionality with a platform now that we've done that, we've now started moving into the focus on expanding the number of users with the platform. We've got a couple of things there that we've talked about as mechanisms to drive users to the platform. One, obviously, we talked about our merchant platform in Investor Day, that continues to be a focus for us. We believe that's a mechanism as we come to the end of the year, we'll start driving more users onto the platform. We also are very excited about the platform coming to market in a non-branded fashion. And so we are really out there working that platform going out and selling it in an unbranded fashion. So we're excited about the opportunity there. We're really pleased with the product changes that we've made. Those things needed to happen first, and then, we'll start focusing in on expanding the three-month active users.
Scott Wurtzel: Got it. That's helpful. And then maybe just as a follow-up, just when we look at the trends by verticals throughout the quarter, I mean, you got out some strength in North America iGaming, but wondering if you can kind of parse that a little bit further in how you saw trends in travel and leisure, retail, hospitality and digital assets as well.
Bruce Lowthers: Yeah. Look, I think overall, the business has improved quite a bit from where it was a year ago. So some of the businesses, obviously, are doing exceptionally well. Some of the verticals are doing exceptionally well, like the gaming vertical. Others were really coming back from declining verticals. And I think we tried to touch on that with the construct of our retention rate being at 100% in our prepared comments, that was down a year ago. So we've really stabilized the business, feel very good about it. We feel good about the verticals we're in. When you look at the gaming vertical, you look at the digital assets to travel and leisure, all these verticals are big verticals huge TAMs and double-digit growth for the foreseeable future. So we feel like we're in the right place. The experiential economy seems like a place for us where we can really grow for a long time. And we feel we have the products to do that. We're now organizing our sales efforts and our client experience. So we feel like we're positioned very well to be competitive in this market.
Scott Wurtzel: Thanks, guys and congrats on the results.
Bruce Lowthers: Thank you.
Operator: Thank you. Next question today is coming from Aditya Buddhavarapu from Bank of America. Your line is now live.
Aditya Buddhavarapu: Hi, Bruce, Alex. Thanks for taking my question.
Bruce Lowthers: Good morning.
Aditya Buddhavarapu: Good morning. Just coming from my side. Just if you could talk to us about how should think about some of the moving parts for the second half? Anything in particular which in terms of growth or sort of OpEx drivers. If I just look at the guidance, you've sort of effectively sort of rolled forward, I guess, the better numbers into Q that still implies about 7% to 9% revenue growth in the second half, which is sort of in line with what you said. So any key moving parts to think about there? That's the first question. Second one, on the free cash flow, Alex, you mentioned there were some one-time items for taxes and some same cutting practices. So if you could just expand on that. How big was that one-time impact and does that how you should think about the drivers for the second half?
Bruce Lowthers: Yes. Thank you. So why don't we -- Alex, will go backwards, we'll do the tax question to you first. And then I guess the first question is really about guidance, and you can probably.
Alexander Gersh: Well on the tax and the impact on the free cash flow. That's why I said in the remarks that we expect the normal free cash flow conversion to be about 65% so there were some one-time payments that we've made the taxes in the previous periods that reduced that. We had some changes in the way our Safeguarding is working, which have increased our cash for this quarter but net-net, we would expect to continue that 65% conversion rate. So that's how to think about it. And in terms of guidance, go ahead. In terms of -- I think in terms of guidance, the way we -- I think we said it from the very, very beginning that we expect both digital wallet and midterm to grow roughly the same. We expected low-single digits in the first half, higher-single digits in the second half. We have beaten the guidance. We have increased our revenue guidance. We did say and I want to be very clear that we did say that from an EBITDA perspective, while we didn't increase the guidance, we expect to be at the higher end of the guidance, not necessarily at the midpoint, right? So this is -- but the drivers remain the same.
Aditya Buddhavarapu: All right. That's very clear. If I could just add one more question that I think you've spoken in the past about getting into that sort of low double-digit growth in the mid-term. I mean, given some of the momentum you're seeing on enterprise wins, cross-selling, I mean, would you -- we sort of say you're maybe stretch further ahead than you had expected? Maybe a year ago or even at the time of the CM earlier this year and getting there or is it still sort of part of the expected trajectory which you might have had internally?
Bruce Lowthers: Yeah. I'll answer and then I'll let Alex clean it up. So what I would say is, if we go back a year, I think we're a little ahead of where we thought we would be when I came in 15, 16 months ago. So I feel like we're right on track, feel very good about it. I think the year while we -- as Alex just said, we're a little ahead of where we thought we would be at the six-month mark at 6% growth. We feel good about that. We think we're right on track to where we want to be. We did talk about an Investor Day that a longer term, we would be a double-digit growth company. We still feel very comfortable about that. And as Alex just said, the model that we're executing on is still the same. We overperformed or outperformed a little bit in the first half of the year, upper single digits for the back half of the year, parity between the two segments still feel very good about where we are. I feel very good about the way the year is shaping up.
Aditya Buddhavarapu: Great. Thanks, Bruce.
Operator: Thank you. Next question is coming from Timothy Chiodo from Credit Suisse. Your line is now live.
Timothy Chiodo: Thanks a lot. I want to ask about Merchant Solutions. here. I wanted to ask about Merchant Solutions gross profit growth, specifically, if you could put a little bit more context around Q2, I believe it had to do with the mix and the partner channel, et cetera., but also about what's implied for second half gross profit growth for the Merchant segment within the full year guide.
Bruce Lowthers: Yeah. So again, I think carrying forward from Q1 into Q2 and I'll let Alex answer, but still see a little bit of that product mix in our ISO channel (ph) impacting the margin but we are seeing really good growth in our e-comm business. So over time, that will start balancing things back out on a margin basis as we're moving forward. Obviously, our e-comm margin is a much better margin than our reading book. So you're right. [Multiple Speakers] yeah. Go ahead.
Timothy Chiodo: Sorry about that. I was trying to get to the implied growth rate for gross profit for the second half for the Merchant segment.
Alexander Gersh: I don't think -- I think the gross margin doesn't change because the changes to direct as well as e-commerce, but we'll certainly see acceleration in second half of the year on the e-commerce side and hopefully, in the direct side, mix -- in the mix side, I think it may -- in terms of the gross margin itself, it won't change in the second half. We will see that acceleration. And then hopefully, in next year 2024, you'll see the changes.
Timothy Chiodo: Okay. Excellent. Thank you, both. If you don't mind a brief follow-up. So you mentioned that the direct channel was more of the focus, and that's the higher margin. Could you just talk a little bit about what the direct channel growth was in the second quarter and also what's implied for the second half of the year?
Bruce Lowthers: Yes. I don't have the direct channel growth in front of me, but we -- our direct channel on the -- in aggregate, I'm just trying to do the math here in my head, but we're probably mid-single digits in aggregate on all of our direct channels. So it's progressing. We're moving along. The sales transformation is taking place, bringing on board changing the marketing strategy around the direct channel. So we've had a lot of moving pieces there. I feel very good about the progress that we're making. With the direct channel and really, to be honest, very bullish about the direct channel as we move forward.
Timothy Chiodo: Great. Thank you for that, Bruce. Okay. So mid to singles. So it’s not – it’s below but not too far below total segment growth. That’s really helpful. Thank you.
Operator: Thank you. [Operator Instructions] Our next question is coming from Jamie Friedman from Susquehanna. Your line is now live.
Bruce Lowthers: Hey, Jamie.
Operator: Jamie, perhaps your phone is unmute. Please pick your handset or take your phone off mute.
James Friedman: I'm sorry. Sorry about that. I was on mute. I was hoping you could help us unpack a little the relative size of the e-commerce business, the iGaming business and the gambling business, any dimensions related to those would be helpful.
Bruce Lowthers: To unpack the iGaming e-com -- and what was the other one, Jamie, I'm sorry.
James Friedman: Gambling
Bruce Lowthers: In our e-com business, it is predominantly driven by our gambling merchant acquiring business. Obviously, our gambling business in total is a much bigger piece or right around 30% of our total revenue stream that the merchant acquiring piece of e-com is a much smaller piece, obviously, as we've talked about extensively in the past. So gaming is going very well. I feel very good about that vertical. Obviously, the e-com piece, the e-com component of that and our ability to now cross-sell into our existing customer base whether it be APMs or merchant acquiring. We're having a lot of success with that into the existing customer base. And so we're seeing real good growth out of that segment.
James Friedman: Okay. And then, in terms of the unbranded strategy, Bruce. Yeah, that sounds interesting. I remember you had alluded to it at the Analyst Day, but can you help us think through both the use cases and maybe like the take rate for the unbranded opportunity?
Bruce Lowthers: Well, look, I think it's probably early to talk about the take rate on the branded strategy. But look, for us, what we're really trying to do is be excellent in a couple of verticals. So when we look at our verticals, with the gaming vertical, travel and leisure, hospitality, digital assets, we really want to be exceptional providing services in those verticals, and that's really what we're focused on. We think there's a tremendous amount of opportunity to leverage our platform in a different way. As you know, historically, we've only gone to market really as Grill and NetTeller and a branded fashion. We've learned over the last year that we have the ability to sell in an unbranded fashion within the digital asset space. And we think there's other things that we can do, as we have done with Penn Interactive. We've used our wallet there. We think there's opportunity to leverage other people's brands and do a co-branded or white labeled version of our wallet. And we think that's something that's going to catch on and grow significantly as we move forward into '24.
James Friedman: Great. Thank you, both.
Operator: We reach the end of our question-and-answer session. I'd like to turn the floor back over to Bruce for any further or closing comments.
Bruce Lowthers: Well, thank you very much. Look, I appreciate everybody joining us today. I just want to thank our team for, again, a great quarter, great effort and really appreciate all of the focus on improving client experience and energy around our sales transformation and looking forward to bringing product innovation to our clients to help them be successful as we're moving forward. So thank you very much. Have a great day. Thank you.
Alexander Gersh: Thank you.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.